Operator: Hello, ladies and gentlemen. Thank you for standing by for 36Kr Holdings Inc.âs Second Quarter 2022 Earnings Conference Call. At this time, all participants are in listen-only mode. After managementâs remarks, there will be a question-and-answer session. Todayâs conference call is being recorded. I will now turn the call over to your host, Yang Li, IR Manager of the company. Please go ahead, Yang.
Yang Li: Thank you very much. Hello, everyone. And welcome to 36Kr Holdings second quarter 2022 earnings conference call. The companyâs financial and operational results were released earlier today and have been made available online. You can also view the earnings press release by visiting the IR section of our website at ir.36kr.com. Participants on todayâs call will include our Co-Chairman and CEO, Mr. Dagang Feng; and our Chief Financial Officer, Ms. Lin Wei. Mr. Feng will start the call by providing an overview of company and the performance highlights of the quarter in Chinese, followed by an English interpretation. Ms. Wei will then provide details on the companyâs financial results before opening the call for your questions. Before we continue, please note that todayâs discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the companyâs results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the companyâs prospectus and other public filings as filed with U.S. SEC. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please note that 36Kr earnings press release and this conference call include a discussion of unaudited GAAP financial measures, as well as unaudited non-GAAP financial measures. 36Krâs earning press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. And please note that all amount numbers are in RMB. I will now turn the call over to our Co-Chairman and CEO, Mr. Dagang Feng. Feng, please go ahead.
Dagang Feng:  Thank you. Hello, everyone. Thank you for joining our second quarter 2022 earnings conference call. In the second quarter of 2022, against the backdrop of  measures, as well as  economy. We delivered robust financial performance, with double-digit growth in terms of revenue and continue to increase in gross margin. We are achieving profitability for the third consecutive quarter that has been to our powerful brands influencing our business, strong resilience and vitality. High quality content has always been our most prominent advantage and the backlog of our business developments. In the second quarter, we continue to optimize our content ecosystem and innovate our content columns and formats. While we certify our content platform strategy, we still focus on PDs and DC. We are expanding our content more industries with their worth perspective, calculating an even ratio content ecosystem are helping us expand our reach to a wider high quality user base. Letâs take a closure look at some of our 2022 accomplishment in content during the quarter. First our content refinance have contributed to more than 150 articles with over 100,000 views, leaving us at the forefront of industry. In a second quarter our articles gather readership over 100,000 views each due to the trendy economy following the latest dynamic of popular industry with more or use owing the topic or label which deeply resonates with users attracting nearly 300 million views and sparkling animated discussion across the internet. Second we launched our series of innovative media in China, which significantly improve the reach of our content reach while meeting the needs of a more diverse area of users and customers. For example, we launched the Long China 50 Series. In May, we are reselected and showcase 50 of the new economies most representative companies, all of which are important players, applauding they are noteworthy accomplishments in an effort to empower them to become a force in propelling the economyâs recovery. We also launched a host of programs as our sub-media targeting different workflows, including KR Carbon, Race, Digital KR and Free Bonus  to improve the breadth and depth of our content within the topic selection and perspective. That is why in the content lives of more than working by user group. Finally, we recently launched a new channel targeting specialized find differentiated and innovative helping people get informed of the latest industry trends. On related note, I like to highlight that by one of premium content. We continue to enhance our secondary market product influence among the wider public through our various niche columns such as KR-Go, Kr-Intelligence, week four, we will make topics from various wide perspective from data in depth professional analysis and thought provoking interpretation of multi company and capital markets and providing insight into the companyâs performance and trading trends, attracting massive new followers through KR Finances. For example, our analyst reports on the ineffectual capital, loss and coffee refresh and tourism during the May Day holiday received recognition from many users and professionals laying a solid foundation for our commercialization efforts. Meanwhile, our rich media formats, including our STEPVR live streaming products are growing more mature. In the second quarter, our short video attracts over 7 million followers cumulatively, including multiple panel videos produced by 36Kr, which ranked in over 1 million views each on Bilibili. For example, database of vocational growth in China attract a total of 2.46 -- 64 million streams and 150,000 live across Internet platforms. Thanks to our high-quality content, we ranked number 5 on Bilibiliâs video chart in June. We are also becoming the only optimization on the list that is not affiliated with the Chinese Government authorities.  Regarding live streaming, we actively integrated our existing resources and leverage the influence of our WeChat video account to create a new IP entitled KR Planning Live Stream Room, with use, watch and see at its core program. We held a total of 16 live streaming sessions in this quarter, having including enterprise aging options and how companies can pull-through the winter in the capital markets. This event actively 36Kr column radio resources are helping us lead to content scenarios and service model. As we unseasonably strive to build and refine our content ecosystem, we have achieved consistent growth in our page view with the number of our total followers exceeding $25 million, an increase of 20% year-over-year and it involved endorsement of our premium content are more influence. Meanwhile, we have been storing our wealthy community on that to aggregate our users and improve our user engagement while optimizing our closed-loop ecosystem. In short, our related column and refinement of content and our development of innovative announced products and service like another quarter of excellent performance. Not only did we post solid double-digit year-over-year growth in total revenues and online ongoing improvements in gross margin, but we also achieved profitability for the third consecutive quarter. Next, Iâd like to share the progress we have made in commercialization across our business segments. Our advertising business continued to thrive up 12% year-over-year in the second quarter. This back on the economy resurgence and macroeconomic challenges, we achieved year-over-year growth above industry average, a clear indication that 36Kr remains an indispensable partner for advertisers and marketing. During the quarter, we capitalized on 36Kr omnichannel presence and multidimensional services to continue expanding our customer base, increasing our number of advertisers by 13% year-over-year. We are able to empower customers from both traditional industry and the new economy to creatively innovate and operate in our brand marketing. Among traditional industry customers, mainly in the automobile and real estate industry continue to promote the brand and content in the 36Kr platform despite timing from the pandemic, including Beijing Hyundai Motor Company and , notably our market motion of the renowned automotive manufacturer Beijing Hyundai, a new high in contract sizes among our advertisers from the automotive industry since 2021. With respect to our collaboration with the new economy and stronger industry, we leveraged all use to provide brand philosophy promotions for more customers, especially restructuring fee and consumers. Following our kickoff of its with the commercialization in the beginning of this year, OUS experienced positive growth in the second quarter, achieving 278% sequential growth in contract term. During the second quarter, we collaborated with an area of well-known companies, including Intel, Reveal, Chango, Icon and Commercial , having a wide variety of new industries such as science and technology, healthcare, new consumption and internet, among others, for aging marketing solutions for more brands for more customer acquisition.  During the second quarter against the backdrop of 2019 and complicated macroeconomic happenings large and small companies across all industries face various challenges and changes. In May, we initiated the seeking the live program to fulfill our social responsibilities on health business, particularly small- and medium-sized enterprises to maintain their brandâs share of voice, despite the market downturn. By optimizing our product portfolio in records, we achieved a marked increase in the number of customers, while maintaining our average revenue per user at a relatively stable level. Deploying into our video as our flagship product alongside our fee and content program metrics such as Super Review and OUS has also been  our commercialization progress in west. In the second quarter, roughly an order to promote these products in the traditional commercial bank, Bank of China, promote this app to 36Kr Super Review. So leading slowing content hours among customers has mainly is a useful format for us to effectively attract more advertisers and improve our monetization efficiency. Turning to value added enterprise side,  resurgence we were able to maintain our enterprise value added service revenues at a stable level compared with the same period of last year. In terms of offline activities, we proactively transfer consulting services to automate online combined scenarios during the quarter, which partially mitigated overall impact from the pandemic and related control measures. In addition, our consulting services and Integrated Marketing Services performed remarkably well during the quarter. In July, we held an online brand event at 66 and 36 as a companion absorber of enterprises plus verticals, we invite in numerous conference and investor representatives from various industries to share their brilliant best selling and come with most authentic voice of Chinaâs new generation of entrepreneurs. Given the current uncertainty environment, 36Kr ran online ceremony for entrepreneurs to boost the venture capital community audience and help forge connections among all parties. In addition, we also partner with Quico, Intel, again to promote the ceremony and same traction among users, achieving total user exposure of 350 million. In terms of regional business expansion, while first tier cities, including Beijing and Shanghai were under strict control due to the pandemic. Our regional office in Chaoyang, and Chengdu and Guangdong were a great boon to our business. For instance, our regional offices in Chaoyang and Chengdu recreate preparatory IP event entitled, The Marvel of Space of Baotou, a summit which brought gather local governments and over 100 new consumption enterprises and investment institutions, building up breach of communication between supply and demand to accelerate the development of the new construction industry in the Baotou area. The debut of 36Kr marvelous IP series in Chaoyang and Chengdu was excellent, really demonstrating that 36Kr spread influence and service system has taken root in these regions. We have gained over 200 enterprise clients leased from this event for 18 projections in progress worth RMB10 million, as well as potential forward kicking orders.  Furthermore, through our approach combining industry insights and data analysis, 36Kr Research Institutes track the latest developments of popular industries and produce frequent high-quality research reports, achieving content dominance and improving customer loyalty. At present, in addition to a large number of local government lines on the coverage side, 36Kr Research Institute is also providing consulting services to a wide range of renowned companies, including Alibaba, Baidu, Tencent, Beisen, Julie Medical , Celmaster, P&G and Slentex. Moving on to our Integrated Marketing Services. During the quarter, we continued to make positive progress in our content operation agency service. For instance, through our recent partnership with Quanta Securities, 36Kr will provide content support in agency operations for Quanta  app, following our partnership with China Mortani  Shanghai, PutoDevelopment Bank, our cooperation with Fatec  Securities represents another exploration of our financial agency operation capabilities, which will lay the groundwork for us to replicate the operation model with additional securities companies in the future. With respect to subscription services, we implemented innovative upgrade to our subscription service system in this quarter, which increased our revenue from subscription service by 58% year-over-year. Take our Institutional Subscription Service at . 36Kr conducting quality capital with the Wuxi Municipal Government for industry collaborations and integration, demonstrating the value of the customized membership service we provided for our institutional clients. Furthermore, despite the postpone of certain courses into our individual subscription due to the pandemic. We made breakthrough progress in multiple star subscription products such as the business plan building camp and the funding acceleration camp since July.  Last and least, Iâd like to share the latest progress of our Enterprise Service Review Platform. During the quarter, we not only continued to rapidly improve our major operating metrics but also achieve forceful commercialization progress. In terms of operating data, our monthly active user rose more than 18 times year-over-year to nearly 900,000 and the number of authentic reviews climbed 17 times to over 32,000, up 56% sequentially. Meanwhile, we optimized the platformâs business coordination, function layouts and use experience, and as a result, the number of customers are willing to leave their information on the platform more than doubled compared with the beginning of the second quarter. We showcased over 6,600 pieces of mainstream software on the platform, up 84% year-over-year and nearly 20% quarter-over-quarter. This merchant-oriented features were launched in September 2021, a total of over 850 merchants have set up presence on our platform raising almost 30% quarter-over-quarter. Regarding commercialization, 36Kr Enterprise Service Review Platform reached our strategic collaboration with Volcano Engine this quarter, focusing on the functions and features of a diversified portfolio of working  products, including cloud computing, Big Data and SaaS applications. Meanwhile, due to a product level on our Enterprise Service Review Platform for Volcano Engine, providing product and targeted access to specific customer groups. Furthermore, 36Kr Enterprise Service Review Platform will collaborate with Volcano Engine to produce and disseminated various formats of content, such as live broadcast and in-depth interviews. Taken together, this strategy will compete with customer awareness, as well as shape Volcano Engineâs threat intents and unique positioning in the SaaS market. Despite the challenging external environment, including pandemic with uncertainty in macroeconomic downturn, we achieved double-digit growth in total revenue and profitability for the third consecutive quarter. Our robust financial results again demonstrated our business model resilience, as well as massive development potential. For this  our business foundation while having inflection point of our company value. Meanwhile, as our taking growth engine, our Enterprise Service Review Platform has achieved strong growth in all major operating metrics together with society development of its commercialization, expanding our service boundaries and allowing more business potential. As the new economy service growth, 36Kr remains committed to its original aspirations and will continue to empower its partners with high quality content, live and innovation-driven content ecosystem with dedicated and effective services, while hoping to enhance other business efficiency in Chinese enterprises. Moving forward as a companion and enabler of the new economy, 36Kr will continue to empower more industry participants to achieve high-speed development, capitalizing on the wave of digital transformation, we are confident that we can create sufficient level of value for more users, customers and investors.
Lin Wei: Thank you, Feng, and hello, everyone. Against the backdrop of the pandemic and macroeconomic uncertainties, we achieved solid topline growth in the second quarter, with a 13% year-over-year increase in total revenue and the third consecutive quarter of profitability, a strong testament to our business resilience and vitality. Notably, our advertising revenues continued to grow, up 12% year-over-year to RMB57.8 million, outpacing the overall market. In addition, through our multiple efforts to navigate the impact of stringent COVID-19 prevention measures, we were able to maintain our enterprise value-added services revenues at a stable level, while our subscription services revenue recorded remarkable growth of 58% year-over-year, as we proactively executed certain services through online and virtual scenarios. In addition, as we continually optimize our cost structure and operating efficiency, we further improved our gross profit margin to 62% in the second quarter, up 5 percentage points year-over-year. On the cash position front, we once again generated positive operating cash flow in the second quarter. Our cash, cash equivalents and short-term investments increased by over RMB20 million quarter-over-quarter and over RMB40 million year-over-year, respectively. Looking ahead, we will continue to hone our core capabilities and explore diversified growth avenues to drive monetization, we are also strengthening our longstanding commitment to cultivating a compelling value proposition for more customers, users and investors. Now Iâd like to walk you through more details of our second quarter 2022 financial results. Total revenues were RMB81.7 million in the second quarter of 2022, an increase of 13%, compared to RMB72.1 million in the same period of last year. Online advertising services revenue increased by 12% year-over-year to RMB37.8 million in the second quarter of 2022. The increase was primarily attributable to more innovative marketing solutions we provided to our customers, as well as the proactive sales strategies we adopted to navigate the challenging environment during the quarter. The number of advertising customers increased by 13% year-over-year, while the ARPU remained largely stable during the quarter. Enterprise value-added services revenue were RMB14.3 million in the second quarter of 2022, largely flat compared with the same period of last year. We were able to maintain our enterprise value-added services at a steady level, despite the resurgence of pandemic during the quarter. This is mainly because we proactively executed certain services through online and virtual generals. Subscription services revenues were RMB9.5 million in the second quarter of 2022, compared to RMB6 million in the same period of last year. The increase was primarily attributable to our continuous efforts to offer high-quality subscription products to our subscribers. Cost of revenues were RMB30.8 million in the second quarter of 2022, compared to RMB30.7 million in the same period of last year. Gross profit increased by 23% year-over-year to RMB50.9 million in the second quarter of 2022, compared to RMB41.4 million in the same period of last year. Gross profit margin was 62% in the second quarter of 2022, compared to 57% in the same period of last year. The increase was mainly attributable to the economy of scale achieved by our revenue growth, as well as the optimized cost structure driven by more services delivered online during the quarter. Operating expenses were RMB64.6 million in the second quarter of 2022, compared to RMB75.3 million in the same period of last year. Sales and marketing expenses were RMB27.4 million in the same -- in the second quarter of 2022, compared to RMB33.4 million in the same period of last year. The decrease was primarily attributable to the decrease in payroll-related expenses, share-based compensation expenses, marketing expenses and business travel-related expenses. G&A expenses were RMB23.8 million in the second quarter of 2022, compared to RMB29.9 million in the same period of last year. The decrease was primarily attributable to the decrease in allowance for credit losses and professional fees, partially upside by the increase in payroll-related expenses. Research and development expenses were RMB13.4 million in the second quarter of 2022, compared to RMB12 million in the same period of last year. The increase was primarily attributable to the increase in payroll-related expenses, as we bolster our research and development capabilities, especially for our 36Kr Enterprise Review Platform. Share-based compensation expenses recognized in cost of revenues, sales and marketing expenses, research and development expenses, as well as G&A expenses totaled RMB2.6 million in the second quarter of 2022, compared to RMB3.3 million in the same period of last year. Other income was RMB20 point -- RMB22.7 million in the second quarter of 2022, compared to other expenses of RMB0.4 million in the same period of last year. This fluctuation was primarily attributable to investment income arising from fair value changes of long-term investments and more government grants received in the second quarter of 2022. Net income was RMB9 million in the second quarter of 2022, compared to net loss of RMB34.3 million in the same period of last year. Non-GAAP adjusted net income was RMB11.6 million in the second quarter of 2022, compared to non-GAAP adjusted net loss of RMB31 million in the same period of last year. Net income attributable to 36Kr Holdings ordinary shareholders was RMB8 million in the second quarter of 2022, compared to net loss of RMB34.1 million in the same period of last year. Basic and diluted net income per ADS were both RMB0.195 in the second quarter of 2020, compared to basic and diluted net loss per ADS of RMB0.834 in the same period of last year. As of June 30, 2022, the company had cash, cash equivalents and short-term investments of RMB194.3 million, increased by RMB23.2 million compared to the previous quarter and by RMB44.7 million compared to a year ago. The increase was primarily attributable to cash inflow from operating activities. This concludes our prepared remarks today. We will now open the call for questions. Operator, please go ahead.
Operator: Thank you.  And todayâs first question comes from Lingyi Zhao with SWS Research. Please go ahead.
Lingyi Zhao:  Let me translate my questions in English. The first one is since the third quarter, the impact of COVID in first half subsequently ease, how about the recovery of the companyâs various business? The second question is, recently, 36Kr has held several offline summit and we have noted that more summits have been scheduled. What are your expectation and arrangements for offline activities in the second half of the year? My third question is, Enterprise Service Review Platform officially announced a one-step marketing service corporation with ByteDance. Could you give us more color on this cooperation progress? Thank you.
Dagang Feng: We are currently seeing some improvement in advertising business in the third quarter compared to the same period of last year. Compared with last year, we made -- we have been following several efforts to improve the vitality of advertising business this year. First, we have extended the coverage industry supporting this year, such as Jilin province, digital transformation, career and so on, so which will bring new business opportunities in the third quarter and the second half of the year. Second, after more than one year of deputation, short video and QC columns have attracted more and more advertisers, at the same time, further expanding more with attracting fee end users. So finally, we will continue to optimize our product portfolio as we have. So we can go through the hard times together with our advertising clients and grow our advertising revenue. So our advertising is more a combination of branding and effects, but therefore, even enter macroeconomic pressures, advertiser demand for brand advertising still exists.  So for offline business, in the first half of this year, due to the impact of the pandemic, many of our offline events were delayed or transferred to online form, which did have some impact on revenue. However, we are confident in the pandemic control in the second half of the year, we have planned many same offerings in our pipeline. For example, going global forum, super automation forum, new media trans forum, exciting series and the end of year grand event last conference. Even if there was resurgence of the pandemic has a certain impact on offline events, we still have the capability to prepare online forums. For example, the flagship IP 36 Under 36, the risk we held insurance with a pure online event with great performance in terms of both influence and commercialization. Therefore, we remain cautiously optimistic on the revenue front. For subscription services, we have making a certain proportion of growth in the institutional subscriptions, mainly because we continue to innovate in the membership system and have more potential competition connections between investment institutions and enterprises customers. In terms of individual subscriptions, many courses were postponed in the first half of the year due to the impact of epidemic. However, since July, 36Kr business school has been successfully ever several offline forces with relatively high average revenue for per users. So we expect a certain increase in the third quarter and the second half of the year. So this is the end of the first question. So now with your second question regarding the offline events. So we believe the dynamics will be manageable in the second half of the year, among offline summit will take place as planned. So we will launch a series of events related to our key IP such as the  end users, the end of the year grand even live conference going global forum, as well as some summit, life of enterprise services and many customerâs industry forums. So even the pandemic resurgence in the second half of the year, leading to reinforce control measures as we already have mature capabilities of operating online companies, we will also serve them online side. On the other hand, our regional office will expand business to propel growth, our regional business expansion help us reshape many IPs, such as the recording of The Marvel series, spending our activities with regional capitalistic. This is the end of the second question. So regarding collaboration with Volcano Engine, we will focus on the functions and features of a diversified portfolio of Volcano Engineâs products including cloud computing, Big Data and SaaS applications. We will build our product library on our Enterprise Risk Reveal Platform for Volcano Engine, providing precious and targeted access to specific customer groups. Furthermore, to enhance customer awareness and brand influence, we will collaborate with Volcano Engine to produce and disseminate various forms of content, such as lab streaming and in-depth interviews. Volcano Engine has set up its presence on the Enterprise Service Review Platform as a we are working and we are helping them with overall operations on the platform and content production, as well as handling certain sales leads and customer information. Originally, we have upgraded our collaboration with several well-known SaaS suppliers and we will provide service to them going forward, including offering sales lease regarding our plans to expand corporation to more service providers. We will approach it from two perspectives, first, through industrial park and business in lower-tier markets. We will cover more SaaS products and invite more providers to join our platform to make our platform more complicated, while accumulating more potential customers through the operation and maintenance of the merchant-oriented features. Second, by enhancing operational efficiency and optimizing the process for customers to leave their information for sales lease. We will improve the conversion rates and attract more providers to work with 36Kr Enterprise Service Review Platform and leveraging our customer bank of enterprise service industries, we will start with working enterprise service providers to our customers through forum plus trimming and consulting. Then moving on to in-depth services such as acquisition of more precious fleet. So this is end of the third question and thank you.
Operator: Thank you. Our next question comes from Peipei Qiu with Industrial Securities. Please go ahead.
Peipei Qiu:  I will translate my question. The first question is about advertisement. We can expect the economy is going to be in low level for a relatively longer time as expected. Could you give us more color of the growth of other enterprise clients in that pool and where we can expect for the coming two quarters? And second question is about -- the second question is, management could explain more about your plan to growth and monetization in short video platforms? Thank you.
Lin Wei: Hi, Peipei. Thank you for your question. Yes. You can see that in Q2 we delivered another very strong quarter of advertising revenue growth and compared to others, I think this is a very remarkable success. The reason being, actually, if you look at our ARPU and the number of advertisers disclosed in our ER -- in our earnings release, actually, our number of advertisers grew by 13% and the ARPU actually for the first time in many quarters, I think, declined slightly 1%. Yes, thatâs because, as mentioned -- as the CEO mentioned in our prepared remarks that, we launched Seeking the Life program, which means in Chinese, . That means we actually adjusted our product portfolio and the rate card in the second quarter, meaning that we actually provide some favorable pricing for customers, especially SME advertising customers. Thatâs why you can see that by that program, we expanded effectively the number of advertisers. That number grows strongly, well, we can see that ARPU remained at a very stable level. It actually only slightly declined by 1%. And if you look at our industry-wise, actually the top industries in our advertisers, namely, number one, we call it, hard core technologies, and number two, still Internet services; and number three is, enterprise services. And also, thereâs intelligent manufacturing and new consumption -- new consumer businesses. So thatâs very diversified and especially the hard core technology sector emerged as a very top ranked advertising industries for us. I think thatâs partially driven by our proactive sales strategy that I just described for Q2. And for your second question regarding short-form video, as well as our -- some new columns, new product columns, thatâs very successful. I think thatâs another very strong driver for the advertising revenue growth in Q2. And we said, the short-form video is more and more welcomed by many advertisers. They previously mainly advertise with us with some articles on retried account disclosure. But now they are more and more using short-form video and our new columns. We created, for example, the OUS Ho Long End User  and Super Review,  and some other columns are very, very popular among audiences, as well as customers. As we mentioned in the prepared remarks, we -- this quarter, we entered into advertising cooperation with Intel and Icon Globin and Quico and even IT and Juhu lot of Internet brands advertising with us. So thatâs another success. And give you -- to give you some ballpark idea of the contribution from short-form video. Actually, if you remember, by the end of last year, I said the proportion of short-form videos revenue contribution for advertising dollars is less than 10%. But by the end of the second quarter, actually, the contribution from short-form video has already rose to around 15%. You can gauge how quickly that short-form video has been developing for the company. I hope this answers the question, Peipei. Thank you.
Peipei Qiu: 
Operator: And our next question today comes from Jing Chen with CICC. Please go ahead.
Jing Chen:  I will translate myself. Congratulations on the strong financial performance in the challenging environment, the company has strong content capability. Is there any consideration for improving the monetization capability on the user side? Thank you.
Dagang Feng: So at present, our year end monetization is mainly reflected in our individual subscription business, especially 36Kr business school. So the 36Kr business school has set up a number of products such as the recently we completed business plan building camp and finance acceleration camp, which has been cumulated recently. So those courses are mainly high-value offline courses and the main target customers is the founders of the startup. On the other hand, we also have a low-cost online training courses, like, KR Lab, which focus on course content such as skill improvement. So moving forward, we will provide the core content in the form of open class and small class to build corresponding membership service system and provide courses on clear inbound improvement, business administration, investment and home management courses to entry-level employees and professional elites and high net worth individuals. Thank you.
Operator: Thank you. I am showing no further questions. Iâd like to turn the conference back over to the company for closing remarks.
Yang Li: Yeah. Thank you once again for joining us today. If you have further questions, please feel free to contact 36Krâs Investor Relations with the contact information provided on our website.
Operator: Thank you. This concludes this conference call. You may now disconnect your lines. Thank you.